Operator: Greetings and welcome to Balchem Corporation’s Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Martin Bengtsson, Chief Financial Officer. Mr. Bengtsson, you may begin.
Martin Bengtsson: Good morning, everyone. Thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending September 30, 2022. My name is Martin Bengtsson, Chief Financial Officer. And hosting this call with me is Ted Harris, our Chairman, CEO and President. Following the advice of our counsel, auditors and the SEC, at this time I would like to read our forward-looking statement. Statements made in today’s call that are not historical facts are considered forward-looking statements. We can give no assurance that the expectations reflected in forward-looking statements will prove correct and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem’s most recent Form 10-K, 10-Q and 8-K reports. The company assumes no obligation to update these forward-looking statements. Today’s call and commentary include non-GAAP financial measures. Please refer to their reconciliation in our earnings release for further details. I will now turn the call over to Ted Harris, our Chairman, President and CEO.
Ted Harris: Thanks, Martin. Good morning and welcome to our conference call. This morning, we reported our third quarter results with both strong revenue and earnings growth. Our revenues of $244.3 million were up 23.4% and our adjusted earnings from operations were $44.8 million, up 13.3% versus the prior year quarter. Our third quarter net income of $25.2 million, an increase of 0.9% resulted in earnings per share of $0.78 on a GAAP basis. On an adjusted basis, our third quarter non-GAAP net earnings were $32.4 million, an increase of 8%, resulting in earnings per share of $1 on a non-GAAP basis. Cash flows from operations were $41.6 million for the third quarter of 2022 with quarterly free cash flow of $26.8 million, overall another solid growth quarter for Balchem with performance that highlights the strength and resilience of our business model in a very challenging market environment. Before passing the call back to Martin to cover more detailed financial results, I would like to make a few comments about the overall market environment and our most recent acquisitions as well. The current market environment we find ourselves operating within is very challenging. Inflationary pressures, rising interest rates, the geopolitical and macroeconomic environment and general market uncertainties are having an impact on costs, supply chain efficiencies, labor availability, and increasingly on the overall demand picture. We are starting to experience increased demand volatility to varying degrees across our three reporting segments as a result of customer destocking and risk management activities as well as a moderating slowing of real demand, particularly in Europe. We are very pleased with how we have been able to maneuver through all of these challenges to-date, and in particular, how we have been able to raise prices to offset much of the inflationary impact on our costs. We are also pleased with the growth delivered in the third quarter and believe that despite the increased demand volatility and the ongoing challenges associated with the political and macroeconomic environment that the strength and resilience of our business model, coupled with the contribution from our recent acquisitions will enable us to continue to deliver growth in Q4 and into 2023. I also wanted to spend a little time talking about our most recent acquisitions. On August 30 of this year, we completed the acquisition of Cardinal Associates Inc., operated as Bergstrom Nutrition or simply, Bergstrom, a leading science-based manufacturer of methylsulfonylmethane, or MSM, based in Vancouver, Washington. Bergstrom, which was privately owned by the founding family and other investors, was a company that we had our eyes on for sometime. So we are very pleased that we were able to acquire Bergstrom once the family decided to sell. MSM is a widely used ingredient with strong scientific evidence supporting its benefits for joint health, sports nutrition, skin and beauty, healthy aging, and pet health. Bergstrom’s MSM brand up the MSM delivers the highest quality and purity MSM on the market and is the only brand of MSM with a U.S. GRAS or Generally Regarded as Safe designation. Bergstrom will be integrated into both our minerals and nutrients business unit within the Human Nutrition & Health segment and our companion animal business unit within the Animal Nutrition & Health segment. We acquired 100% of Bergstrom for an enterprise value of approximately $68 million prior to net debt and working capital adjustments funded out of our existing credit facility. In addition to the purchase price, the sellers have an opportunity to receive an additional earn-out payment in 2024 ranging from $0 million to $16 million based on growth and other performance targets established for the 2023 calendar year. This transaction represents an enterprise value to EBITDA multiple of approximately 10x based on the 2023 forecast EBITDA post-synergies. Bergstrom’s forecast 2023 revenues are approximately $25 million. I want to take this opportunity to welcome Bergstrom’s approximately 25 employees into the Balchem team. We are excited to have you join our team. And we are looking forward to the opportunities that lie ahead as a result of our expanded team and the expanded portfolio of nutritional product offerings for our customers. Additionally, we are now one quarter into the ownership of Kappa Bioscience. The reaction from both Kappa’s and Balchem’s legacy customers has been very positive as they see the clear fit between our two companies and the opportunity for a broader solution offering. Our teams are collaborating well together and we are identifying opportunities to drive additional growth. The business is experiencing some of the same demand volatility and destocking as other parts of the company, but we remain excited about the long-term growth prospects for vitamin K2 and our differentiated K2 vital product offerings. And with that, I will now turn the call back over to Martin to go through the detailed financial results.
Martin Bengtsson: Thank you, Ted. As Ted mentioned overall, the third quarter was another quarter of solid growth for Balchem. Our third quarter net sales of $244.3 million were 23.4% higher than the prior year. And we delivered sales growth in all three segments: Human Nutrition & Health, Animal Nutrition & Health, and Specialty Products. Organic growth was approximately 20% year-over-year, while the impact from foreign currency exchange driven primarily by the weaker euro had a negative impact to our sales growth of approximately 2%. Our third quarter gross margin dollars of $68.4 million were up $7.5 million or 12.3% compared to the prior year. Our gross margin percent was 28% of sales in the quarter, down 278 basis points compared to 30.8% in the third quarter of 2021. The gross margin rate was negatively impacted by approximately 80 basis points in the quarter by the purchase accounting entries related to our recent acquisitions. We also continued to see inflationary pressure on our raw materials, not only from a year-over-year perspective, but also sequentially versus the second quarter. And while the rate of increase is moderating and varies by category it’s still on an upward trajectory as it relates to our overall spend. As we have discussed on previous calls, we are pleased with our efforts to recover these cost increases through pricing actions with some delay, but the grossing up of revenues and costs have a dilutive impact on the gross margin percentage despite the fact that we continue to grow our gross margin dollars. Additionally, with the previously mentioned increased demand volatility, we took some destocking actions in the quarter to lower our inventory levels where appropriate leading to manufacturing inefficiencies, which had a negative impact to our gross margin in the third quarter. Consolidated operating expenses for the third quarter of 2022 were $34.8 million as compared to $28.4 million in the prior year. The increase was primarily due to incremental expenses and amortization from the Kappa and Bergstrom acquisitions and an increase in outside services partially offset by a reduction in compensation related costs. GAAP earnings from operations for the third quarter were $33.6 million, an increase of $1.1 million or 3.4% compared to the prior year quarter. On an adjusted basis, as detailed in our earnings release this morning, non-GAAP earnings from operations of $44.8 million were up $5.3 million, or 13.3% compared to the prior year quarter. Adjusted EBITDA of $53.8 million was $5.4 million or 11.2% above the third quarter of 2021. Interest expense for the third quarter 2022 was $3.6 million and our net debt was $406.1 million, with an overall leverage ratio on a net debt basis of 1.9. The company’s effective tax rates for the third quarters of 2022 and 2021 were 18.8% and 22%, respectively. The decrease in the effective tax rate from the prior year was primarily due to a favorable provision to return adjustment related to an increase in certain tax credits and deductions. Consolidated net income closed the quarter at $25.2 million, up 0.9% from the prior year. This quarterly net income translated into diluted net earnings per share of $0.78, an increase of $0.01 or 1.8% from last year’s comparable quarter. On an adjusted basis, our third quarter adjusted net earnings were $32.4 million or $1 per diluted share, up 8% compared with the prior year quarter. Cash flows from operations were $41.6 million and we closed out the quarter with $56.5 million of cash on the balance sheet. As we look at it from a segment perspective, for the quarter, our Human Nutrition & Health segment generated quarterly sales of $142.7 million, an increase of 28.3% from the prior year. The increase was driven by sales growth within food and beverage markets, the contribution from the recent acquisitions as well as sales growth within the minerals and nutrients business partially offset by an unfavorable impact related to changes in foreign currency exchange rates. The two recent acquisitions contributed approximately 8 percentage points to the overall growth of the Human Nutrition & Health segment. Our Human Nutrition & Health segment delivered quarterly earnings from operations of $20.6 million, an increase of 4% compared to the prior year, primarily due to the aforementioned higher sales and higher average selling prices partially offset by higher manufacturing input costs, higher amortization and operating expenses related to the recent acquisitions, and the timing of an insurance reimbursement received in the prior year. Excluding the effect of non-cash expense associated with amortization of intangible assets of $6.1 million and amortization of the fair value step up of the recent acquisitions acquired inventory of $1.5 million, third quarter adjusted earnings from operations for this segment were $28.2 million, an increase of 16.1%. As Ted mentioned earlier, we are starting to experience increased demand volatility across our Human Nutrition & Health segment as a result of customer destocking and broad risk management activities as well as some slowing of demand, particularly in Europe, but also in the U.S. At this point in time, it’s hard to predict the magnitude and duration of these evolving market challenges, but we remain confident that our strong market positions will enable us to continue to deliver growth in Human Nutrition & Health in Q4 and into 2023. Our Animal Nutrition & Health segment generated quarterly sales of $65.6 million, an increase of 16.7% compared to the prior year. The increase in sales was the result of higher sales in both monogastric and ruminant species markets. The contribution from the recent acquisition of Bergstrom, which included a small animal nutrition business, partially offset by an unfavorable impact related to changes in foreign currency exchange rates. The recent acquisition contributed approximately 1 percentage point to the overall growth of the Animal Nutrition & Health segment. Animal Nutrition & Health delivered earnings from operations of $8 million, an increase of 8% from the prior year quarter primarily due to the aforementioned higher sales and higher average selling prices partially offset by increases in manufacturing input costs and distribution costs. Excluding the effect of non-cash expense associated with amortization of intangible assets of $0.1 million and excluding the prior year expenses related to the flash flood event, third quarter adjusted earnings from operations for this segment, were $8.2 million, an increase of 4.7%. Similar to what we are experiencing in Human Nutrition & Health, we are also starting to experience increased demand volatility across our Animal Nutrition & Health segment, as a result of customer destocking and broad risk management activities as well as some slowing of demand, particularly in Europe. Within Animal Nutrition & Health, it’s also difficult to predict the magnitude and duration of these evolving market challenges, but we remain confident that our strong market positions will enable us to continue to deliver growth in Animal Nutrition & Health in Q4 and into 2023. Our Specialty Products segment delivered quarterly sales of $29.6 million, an increase of 7.3% compared to the prior year quarter due to higher sales of products in the Performance Gases business partially offset by lower plant nutrition sales and an unfavorable impact related to changes in foreign currency exchange rates. Specialty Products delivered earnings from operations of $7.1 million, an increase of 10.1% versus the prior year quarter. The increase was primarily due to the aforementioned higher sales partially offset by increases in manufacturing input costs. Excluding the effect of non-cash expense associated with amortization of intangible assets of $1 million and excluding the prior year expenses related to the flash flood events, third quarter adjusted earnings from operations for this segment were $8.1 million, an increase of 5.8%. Within Specialty Products, we expect to continue to see year-over-year growth in Q4 and into 2023 as our Performance Gases business continues to stabilize and fully recover in both the U.S. and in Europe, following the negative impact that we experienced during the COVID-19 pandemic. I am now going to turn the call back over to Ted for some closing remarks.
Ted Harris: Thanks, Martin. Balchem’s solid financial results for the third quarter of 2022 reported earlier this morning with revenue and earnings growth in all three of our business segments continue to show the resilience of our business model and our ability to manage through challenging and dynamic market environments. We are very pleased to welcome Bergstrom Nutrition to the Balchem family here in the third quarter, with the acquisition of Kappa Bioscience in the second quarter and Bergstrom in the third quarter, we have added two great product offerings to our existing nutrition portfolio and two great companies to the Balchem family that share our passion in delivering trusted, innovative and science-based solutions to the nutrition and health markets. The Balchem team continues to do a great job of finding creative solutions to manage through a challenging macro and geopolitical environment. And I would like to once again take this opportunity to thank all of our employees for the incredible work they do for our company, our customers and all of our stakeholders. I’d now like to hand the call back over to Martin who will open up the call for questions. Martin?
Martin Bengtsson: Thank you, Ted. This now concludes the formal portion of the conference. At this point, we will open up the conference call for questions.
Operator: Thank you. [Operator Instructions] Our first question is coming from the line of Mitra Ramgopal with Sidoti. Please proceed with your question.
Mitra Ramgopal: Yes, good morning. Thanks for taking the questions. First just trying to get a sense, you’ve obviously had nice success implementing price increases to help mitigate the impact you are seeing on raw material distribution costs etcetera. Just curious how much more room you think you have on that front and are you starting to see increased pushback from clients?
Ted Harris: Thank you, Mitra. Yes, I mean, you are right, we are pretty happy with our actions to-date in terms of recovering the price increases sort of dollar for dollar, as we have discussed on previous calls, to tend to be a little bit of a delay between us seeing the cost increases from our suppliers and our ability to recover it with our customers and varies by business. But usually, it takes a quarter – one to two quarters for us to fully recover all of those costs. In terms of recovering it, we have been effective and I would say we are pretty much there. In terms of further increases, we did see some sequential cost increase in Q3 over Q2. It’s really moderating the pace, but it’s still a slightly, inflationary environment for us overall. We think that we will be able to pass through also what we have seen here. But I think it is fair to say that it is becoming more challenging to just turnaround and pass it through to the end customers and that you are starting to see some of that demand impact that you would expect eventually as you just continue to raise and raise prices.
Martin Bengtsson: Yes. I think that’s your comment around, is it harder and harder? There is no question that we are using the term kind of price increase fatigue out there in the marketplace, but bottom line, as costs go up, we need to pass those costs on and our customers need to pass those costs on to their customers. And certainly, today, we have been able to do that and we think that given our market position, we should be able to continue to do it – doing that as we experience more inflation.
Mitra Ramgopal: Okay, no, that’s great. And just a follow-up on the cost side, just curious if you feel you have some room internally as it relates to maybe running an even leaner operation as you look at things, like G&A cost etcetera, I know, it’s already pretty lean. But just wondering if you have anymore flexibility on that front?
Ted Harris: Yes, the short answer to that Mitra is absolutely. We have been adding staff, I would say, in a very disciplined way, but for a certain growth outlook for the markets and our company and as that changes, we have opportunity to manage our costs in a different way. So, I think a lot depends on how long this period of demand volatility exists, how deep it goes, but certainly, we sit here today recognizing that there is a cost opportunity if the market conditions warrant it.
Mitra Ramgopal: Okay, thanks. And then as it relates to adding personnel on the Bergstrom acquisition, I am not sure if they had their own internal sales force for distribution or is that an area where you might need to add?
Ted Harris: Yes, I think the answer and I will really speak to both Kappa and Bergstrom is there is more opportunity for consolidation between our three companies than the need to add additional people. Yes, Bergstrom had its own sales organization. Kappa has its own sales organization. Balchem of course had its own sales organization. And we do believe as we bring these three companies together, there will be opportunities to be more efficient. So, we are not sitting here today feeling like we need to add additional staff because of those acquisitions. We are – it’s quite the opposite sitting here today looking at how do we effectively bring our three companies together to be the most efficient we can be while servicing the customers and ensuring we have the right organization for growth, because we are bullish about the growth of the legacy company long-term as well as Bergstrom and Kappa.
Mitra Ramgopal: Okay, thanks. And Ted, you mentioned you are starting to see some softening of demand, especially in Europe with all signs pointing to potential recession next year in the U.S. Just curious if you can remind us how Balchem held up in periods of an economic downturn?
Ted Harris: Yes, Mitra, I don’t know whether you and other folks on the call, it’s – I am getting a little tired of hearing the word unprecedented times, but it’s probably the right word to describe the times. When have we ever seen recessionary environment in this kind of inflationary environment at the same time, it really is unusual. So, historically, we have done quite well, I would say, during recessionary times. Our markets tend to be not very cyclical, tend to not be highly impacted by recessions. That doesn’t mean to say that they are immune to recessionary factors. But we have done reasonably well and better than certainly the average market and we don’t expect this to be any different. But the significant inflation is a kind of a new factor, if you will, to add to that mix. And I think that, that adds to our caution around looking forward, because as Martin commented, we have seen significant inflation in the last three or four quarters and we continue to see inflation escalate during the third quarter. So, that does add a little bit of an unknown, but generally speaking, you would think that the animal protein, the food, the nutrition markets will be less impacted overall by these recessionary factors than a lot of other markets. And we have seen that in the past, but just kind of word of caution around this inflation adds kind of another factor to the mix.
Martin Bengtsson: Yes. I would add a small comment, Mitra, that if you go back to the ‘08/09 time period, and look at that, Balchem experienced a 5% decline in sales there for 1 year, but it actually grew earnings, but that was due to lower input costs. So now we are in an environment where we are not necessarily seeing lower input costs yet at least. So it will depend greatly on the trajectory of the inflationary pressures, but that’s sort of how we fared last time. It was a little bit of a reduction on the top line, but actually a continued growth of the bottom line.
Ted Harris: And I think that’s a great point, Martin. Thanks for making that. The other last point I would make is we are in this period of time where there is clearly destocking going on in our customers. Customers and our customers we even made some comments about we are managing our inventory more tightly, all prudent activities in this sort of uncertain environment, and it does mask how much of the impact on demand is associated with what would be really more of a shorter-term, destocking activity versus maybe a longer-term impact to real demand. So it is a period of uncertainty, again, really pleased with overall growth in Q3 and the overall results of the company feel confident that will continue to be able to deliver growth in Q4 and into next year, but it’s clearly an uncertain market environment we’re living in.
Mitra Ramgopal: Okay, no, really appreciate the color there. And then finally, for me, just on the M&A front, you’ve made two nice acquisitions. And still in the process of integrating those. I notice you also had some debt reduction in the third quarter. So just curious going forward, if we should just expect the pause on the M&A front and priority now shifting a little to debt reduction, especially in a higher interest rate environment?
Ted Harris: Yes, me too. That’s a really good question. And I would simply answer the that question by saying, I do think that a short pause, is our overall thought at this point in time, really given the combination of everything we just talked about with the market uncertainties and rising interest rates, and honestly, also the likelihood that asset multiples will come down somewhat in this environment. So I think that it does make sense to take a short pause. Having said that, internally, the message to ourselves and the organization is we want to continue to feed our pipeline, we want to continue to have a healthy pipeline. If that perfect acquisition were to arise. Of course, it’s always acquisitions are very difficult to time. If that perfect acquisition were to arise, we certainly have the borrowing capability to do it, we still have quite a conservative balance sheet, and would be prepared to move on that. But in an ideal world, we would like to take a brief pause, fully integrate these two recent acquisitions, pay down a little bit of debt, make sure our pipeline is robust and vibrant, and move forward with further acquisitions after a short pause. That’s just a very transparent view into how we are thinking about it within Balchem.
Mitra Ramgopal: No, I really appreciate that. And thanks again for taking all the questions.
Ted Harris: Yes. Thanks, Mitra. Appreciate it.
Martin Bengtsson: Thanks, Mitra.
Operator: Our next question comes from the line of Bob Labick with CJS Securities. Please proceed with your questions.
Bob Labick: Good morning. Thanks for taking my questions.
Ted Harris: Hey, Bob.
Bob Labick: Hi. I wanted to start with – and I understand this is going to be hard to do given your niche leadership positions of that, but how has volume trended versus price this year? And obviously, there is also a destocking component to that as well. But generally speaking, give us – can you give us a sense of volume versus price and how are you thinking about those factors for next year in general as well?
Ted Harris: So, maybe I will take a stab at that and then Martin can chime in. With the – within Q3, when we look at price versus volume and mix, the vast majority of the growth was associated with price. If you look at certain of our food business, was up volume wise. Our Human Nutrition & Health business was up volume wise in the quarter. Our sterilants business was up volume wise. But there were some declines in volume, but price certainly offset that. So, in Q3, the vast majority of the growth was more price related than volume. And in Q2, I would say it was more balanced. And in Q1, it was stronger volumes overall. So, volumes are not necessarily the best measure of our growth because we have certain businesses that are fairly low price, low margin, high volume and volume changes sort of, have a larger impact on our overall volume. But Q3, the vast majority was certainly price related. And I think that we would expect Q4 to see something similar as these destocking activities continue that started I would say in the latter part of Q3 and will carry on into Q4. But after that we should be getting back into more of a volume growth type of environment as we get through some of this unsettled period. Another important kind of note on some of the acquisitions for example, Kappa, is used in micrograms. So, significant growth in Kappa won’t even show up on our volume side of thing. Again, just another example of why volumes, not necessarily the best indicator of our overall growth, but hopefully that gives you a little bit of a feel for your question.
Bob Labick: Yes, absolutely. And that’s great color, and thank you. And then just sticking with Kappa for a second, I may have done the math wrong. But backing into the acquisition contribution, it looks like high-single digit millions of dollars, which is slightly below the kind of run rate that I think you talked about for Kappa. And I assume that’s from the destocking that you highlighted, just can you give us a sense of, your thoughts on the market outlook and growth for Kappa? And if that is, indeed the destocking that may have lowered the quarterly revenues, and when you expect to get back to sales in line with the demand?
Ted Harris: Yes. You are absolutely right, Bob, that’s exactly what it is. A couple of other factors there are the vast majority of the sales are in euros, so that business probably more than others is impacted by currency translation. As well as, we acquired Kappa, the third quarter is kind of a slower European quarter. And the vast majority of the businesses is in Europe. But it’s also the destocking as you said. So, your math is absolutely correct. And so we think that will – we are certainly going to experience the currency headwind for a little while. We are going to experience the destocking for a little while. We are obviously of the European summer months. So, we expect for the next few quarters to deliver similar type results and that heading into 2023, we should see some return to top line growth there. We are working on a lot of interesting opportunities. This is another product, a little bit like our choline for our human nutrition that is growth is largely driven by success and building awareness and getting the nutrient included in new product launches and so forth. And we remain very encouraged about the opportunity for growth longer term from those types of activities.
Bob Labick: Okay, great. And then last one for me just on the Bergstrom from acquisition. I think you said it contributed both HN&H and AN&H. Maybe just talk to us a little bit about the opportunity in AN&H that they previously sell there, is that a growth opportunity for you, or how are you looking at the growth overall from Bergstrom and maybe by segment a little bit?
Ted Harris: Yes. So, maybe I will take that one as well. And I don’t want to over-blow the animal nutrition aspect to Bergstrom. But we are very excited about the animal or pet health part of Bergstrom. MSM is included in pet food – pet supplements. And honestly, up until today, Balchem has identified pet supplements as a really attractive interesting opportunity for both our minerals and our choline. But we haven’t really been successful in penetrating the pet supplements market. So, that’s like, bones to know, treats and things like that and as well as just supplements like humans take. And so we are excited that Bergstrom has an existing business in pet food supplements. And you know we believe that we will be able to leverage that position to pull through some of our products and build a pet supplements business within our companion animal portfolio of products. So, it’s a small part of Bergstrom, but it’s kind of right in our sweet spot as far as areas of growth focus for Animal Nutrition & Health business. And so we are excited about it. But it’s small. But as we look at the Bergstrom results, we will be putting them into both the Human Nutrition & Health business as well as the Animal Nutrition & Health business.
Bob Labick: Super. Alright. Thanks very much.
Ted Harris: Okay. Thanks Bob.
Operator: Our next question is from the line of Ram Selvaraju with H.C. Wainwright. Please proceed with your question.
Ram Selvaraju: Hi. Thanks very much for taking my questions. I was wondering if we could delve a little further into kind of across your different operating segments. If you see meaningful differences emerging with respect to the level of price increases at which you either expect to see or are starting to see indications of demand destruction, if any?
Ted Harris: Yes. So, I will take a stab at that Ram. Thanks for the question. And I would start with the area that we are seeing the most impact would be in our Animal Nutrition & Health business. And I would say, particularly in Europe from that perspective. We have always talked about. I think on the last few calls that in our ruminant business, which is again, kind of our dairy business, where choline is not an essential nutrient for life, or considered essential nutrient for life that is viewed as a product that addresses fatty liver that ultimately results in better milk production and efficiency out of the cow. But not classified as an essential nutrient. In that market, where margins because of milk prices have been fairly tight lately, an option for the dairy farmers to take it out. So, we have always been leery and we have talked quite a bit about that. And I would lead with across our businesses and segments that is at the high end of the scale as far as where we see demand destruction or demand slowing, largely tied to the inflationary cost increases of the products. Next, I would say in Europe relative to just kind of broad animal proteins, there is lot going on in the European markets. You have probably read a little bit about bird flu. In Europe, we are experiencing a significant bird flu situation. The U.S., certainly, Europe is I think even more significant than the U.S. And in Europe, what’s happening in some cases is just not replenishment of those birds that are being culled, that’s actually reducing the market and impacting overall feed demand. And in that environment, we are seeing some demand destruction from inflation. So, I would put kind of the animal protein, really the other part of our Animal Nutrition & Health business kind of second on that scale, particularly in Europe. And then, I would say the rest of the portfolio is largely in the middle on the pet food side where we are really seeing no impacts there. On the Performance Gases business, I would say, we are seeing a little bit of impact on – we repackage a whole host of gases. But ammonia for example, for refrigeration, we are seeing some impact to demand there because prices were up 3x. But on the sterilization – medical device sterilization business, we are seeing no impact because that this is – it’s going to continue no matter what. So, we do have a wide array of impacts and I would – hopefully that gives you a little bit of color on what’s at the high end and what’s at the low end of being impacted.
Ram Selvaraju: That’s very helpful. As a follow-on with respect to vitamin K2, can you talk a little bit about some of the strategies to employ now to introducing this, from the capital lineup into the U.S. market? What you expect the potential trajectory of market adoption to be? And what the competitive landscape looks like right now, specifically with respect to the U.S.?
Ted Harris: Yes, absolutely. The U.S. is a really important part of our growth thesis, if you will, for K2. But I don’t want anybody to think that Kappa prior to the acquisition didn’t have existing business in the in the U.S. They absolutely did. They have a good sales organization in the U.S., existing direct relationships with customers, and existing distributor relationships. So, it’s not like they weren’t present in the U.S. But of course, Balchem’s legacy business has – just has broader, deeper customer relationships. And now we have the ability to – and you can’t understate this, the ability to have just a broader, more compelling discussion with our customers around more solutions, and more combinations and so forth. So, a big part of our strategy is to pull those two organizations together in North America. We do think we need to do a few more studies to help support the science and train the combined organization on all of the products and go-to-market as one in the U.S. with a real force. And that’s really our focus. The competitive dynamics in the U.S., I would say are quite similar to what they are in Europe. There are four primary competitors to speak of, and they are all present in the U.S. to varying degrees. I would say Kappa was a little bit late to the U.S., and so probably has a little less share in the U.S. than the others. But the competitive dynamics are similar as they are in Europe. And Balchem, formerly Kappa, has that synthetic unique, Kappa vital product that we really think is differentiated and will allow us to grow differentially in the U.S.
Ram Selvaraju: Great. Thanks. Just a couple of quick ones for Martin. Martin, can you comment on what you expect the pace of debt repayment on the credit facility to be in the coming quarters. If you expect it to be similar to what was reported that $41 million in the most recently reported period, or if you guys are going to look to accelerate that repayment? And also, if you can just comment on whether you expect the effective tax rate going forward, as we enter 2023, to be reflective of the tax rate that was applicable in the most recently reported period? Thanks.
Martin Bengtsson: Yes, absolutely. I think the two dynamics there in terms of the debt repayments, we will absolutely sort of as we have in the past prioritize saying paying down our debt with sort of excess cash flows that we have after we have done our organic growth investments. And we will continue to do so. In terms of how much, you would say now you almost have to combine that a little bit with the rising interest rate environment as well. So, as the interest rates go up, we generate a little bit less cash. So, that repayment pace will also be a little bit lower. If you were to say, okay, what would you think is a sort of reasonable number per quarter that we would pay down, it will be less than the $40 million that we did here in Q4, probably maybe in that $20 million to $30 million a quarter of paying down depending on the interest rate environment. So, that’s what I would say $20 million to $30 million per quarter seen over time. And then from a tax rate perspective, I wouldn’t expect any significant changes to our sort of run rate ongoing, tax rates going forward. These acquisitions, they change things slightly, but not where it really moves the needle significantly for us. So, having that call it 23% GAAP rate between ‘23 and ‘24, as a planning assumption, as a good assumption to use, as we have said in the past. So, that’s where I would – that’s where I would peg it.
Ram Selvaraju: Thank you very much.
Ted Harris: Thanks Ram.
Operator: Thank you. At this time, I will turn the floor back to Mr. Ted Harris for closing remarks.
End of Q&A:
Ted Harris: Great. Thanks Rob. And once again, just thank you all very much for joining our call today. We really appreciate your support, as well as your time today and look forward to reporting out – I can’t believe how time flies, Q4 and full year 2022 results in February of next year. In the meantime, we will be presenting at a few conferences, actually next Tuesday at Baird’s Global Industrial Conference in Chicago, I will be there in person and then CJS Investor Conference in January. So, hopefully we can see some of you at one of those conferences or elsewhere. So, thanks again for joining today.
Operator: This concludes today’s conference. You may disconnect your lines this time. Thank you for your participation.